Henriette Wennicke: Hello. Welcome, all, to GN’s Q1 2021 Conference Call following our release this morning, Danish Time. Thank you all for dialing in. It’s great to have you on the call. Participating on the call is Gitte Aabo, CEO of GN Hearing; René Svendsen-Tune, CEO of GN Audio; Peter Gormsen, CFO of GN Store Nord; and myself, Henriette Wennicke, Head of IR and Treasury. Today’s conference call is expected to last about an hour, where we’ll go through the presentation we have uploaded on our website, gn.com. The agenda for the presentation itself is that Peter will start out with the group highlights, and Gitte will provide an update on GN Hearing, René will provide an update on GN Audio, after which, we’ll go back to Peter for a financial update and guidance. After that, we hand over to Q&A with questions from the queue. And with that very brief introduction, I’m very happy to hand over to Peter.
Peter Gormsen: Thank you, Henriette. Good morning, everybody, and thanks for joining our call today. As you know, we pre-released our headline numbers for the GN group on April 14, and subsequently upgraded our financial guidance for GN Audio organic revenue growth and EPS. But it is a pleasure to give a little more color on the strong quarter today. Starting on Slide 4 and a snapshot of our strong performance in the first quarter of 2021. The group reached DKK 4.1 billion in revenue, which represent the largest quarter in GN’s history and equals an organic growth of 46%, with 82% growth in GN Audio and 1% growth in GN Hearing. EBITA grew 151% compared to last year, while EPS grew to DKK 3.66. We paid out dividend of slightly more than DKK 200 million in the quarter, and the leverage ended at 1.6, while we earlier this morning initiated a new share buyback program where we intend to buy back shares worth DKK 2.5 billion until the AGM in March next year. So all in all, a very strong start to the year with strong execution across the company. With that short introduction, I would like to hand over to Gitte for an update on GN Hearing.
Gitte Aabo: Thank you, Peter. Before going into the specific developments in the quarter, I would like to share a few reflections on the state of the business. First of all, following Q1, it’s important for me to stress that we are performing according to our plan. We are still only at the base camp on our climb towards the top, but we are exactly where we want to be and, therefore, can confirm our guidance for the year. Secondly, we are starting to see the positive impact from the global vaccination programs on the hearing aid markets. Specifically in the U.S., the market activity seen in March was the highest level ever during the pandemic. Thirdly, we continue to see a strong performance of ReSound ONE and ReSound Key across the independent markets, which bodes well for the uptake of the – in the remainder of the year when hearing aid markets are expected to normalize. Let’s move to Slide 6 and our financial highlights. So even though we do see light at the end of the tunnel, the hearing aid market continued to be impacted by COVID-19 in Q1, especially in January and February where restrictions were tightened across many of our markets. However, as we ended March, we saw a clear impact from the vaccine rollout. All in all, this led to an organic growth of 1% for the first quarter. Compared to 2019 levels, this would translate into around minus 13% organic growth, so still lower than normalized levels but clearly much better for March. This is also the case for April. The gross margin was 62.3%, which was slightly lower than Q1 2020, primarily driven by mix effects as U.S. was more impacted by COVID-19 compared to last year and also impacted by the fixed part of our production costs. As a result of our continued and strict focus on OpEx management, we delivered an EBITA margin of 7.9%, which was almost 4 percentage points higher compared to Q1 2020 on top of significant investments into R&D and IT. While we clearly continue to take a prudent approach to the cost side, I want to stress that we are currently focusing, preparing and investing for growth as markets reopen. The free cash flow of minus DKK 204 million was a result of higher-than-normal level of inventories due to sourcing of specific components and traditional seasonality. Moving to Slide 7 and the regional development in the quarter. Some of you have asked for more disclosure regarding the growth composition across our regions, so we’ve now included the different growth components in our quarterly report on Page 14. In U.S., we continue to see a solid performance in the independent market driven by our leading product portfolio, which led to an organic growth of minus 7% for the region as a whole. In Europe, the market development continues to vary across countries, depending on the degree of local restrictions, leading to an organic growth of minus 5%. In our Rest of World region, the organic growth ended at 27%, on top of a significant decline in Q1 2020 as the pandemic started in Asia early Q1 last year. And that leads me to Slide 8 and a snapshot of how we see the current state of the hearing aid markets. The market recovery continued to vary across regions, countries and channels, all dependent on local restrictions. In North America, the recovery has been pretty strong by the end of the quarter and also going into April, which we believe is correlated with the strong vaccine rollout in the U.S. As I mentioned in the beginning, the market activity in March was at the highest level since the start of the pandemic. In Europe, the picture continues to be very scattered. Countries like Germany and the Nordic region have gone through some pretty tough months in terms of COVID, whereas especially UK and the Southern European countries are currently seeing an encouraging recovery. France is naturally very positively impacted by the recent implementation of the health care reform. In our Rest of World region, the picture also continues to be scattered. We saw particularly strong recovery in ANZ and China, whereas local restrictions are currently impacting Japan. Countries like Brazil and India continue to be severely impacted by the pandemic. So the hearing aid market is currently still impacted by the global pandemic and most likely will continue to be in the next months, but we do see light at the end of the tunnel. Moving on to Slide 9 and a short update on our Beltone transformation, which I’m often asked about. We’ve previously highlighted some of the key strategic initiatives that we are executing on in Beltone, including a new management team, optimization of the network and our ownership in transition portfolio. Looking back through the last couple of years, we’ve been executing strongly on these initiatives. With a new leadership team in place with extensive industry experience, we have reduced the number of stores and ownership transition from around 250 points of sales to now around 100. These points of sales are now back in the network where we are seeing strong performance from the new owners. Based on the strong execution and focus on continuously delivering sales growth, our market shares have performed strongly throughout the pandemic, and we’ve attracted a substantial number of new dispensers to the network. We’re not prepared to declare victory yet in Beltone, but we are certainly moving in the right direction. This leads me to Slide 10 and our focus on the sales execution. Based on our organic Hearing philosophy, we now have a full product portfolio covering all form factors and price points, effectively utilizing the same fitting software. This is a major and very important milestone as we are making the fitting process much easier for hearing care professionals around the world. We’re continuing to do cross-functional projects in order to streamline and to do best practice sharing across the hearing care professionals. The pandemic has enabled much smoother virtual teams and training sessions, which we are currently exploiting to the maximum. I’m also happy to see that the amount of physical customer visits is steadily increasing with the recovery of the hearing aid market. Last but not least, we continue to receive outstanding end user feedback from users that have been fitted with ReSound ONE, and I’m very happy with the uptake we see in the independent market. So with the market slowly but steadily opening, we are strongly represented on the forefront, executing on our sales efforts to give our customers the best possible hearing aid experience. And with that, I would like to hand over to René and an update on GN Audio.
René Svendsen-Tune: Thank you, Gitte, and hello to all of you. So I’m pleased now to take you through the GN Audio’s results for first quarter of 2021. And let’s move to Slide number 12. So Q1 of 2021 was yet again a very strong quarter for GN Audio with a record high revenue and earnings level. The organic revenue of 82% was a result of continued very strong enterprise demand for our innovative world-leading office products but also strong consumer demand for our true wireless products. In the quarter, we have seen a flawless supply chain execution. And let me add here that this execution would not have been possible if we hadn’t placed some large orders of certain components more than a year ago. The outcome is a result of the data-driven supply chain we have been building for some time now with a very close link between sales and the supply chain. This is, indeed, crucial for the outcome. So let me turn to the gross margin. Gross margin was up 1.5 percentage points compared to first quarter of 2020. This was driven by a positive impact from product mix and foreign exchange but partly offset by increased freight and production costs due to COVID-19. EBITA increased by 148%, equal to an EBITA margin of 24.8%, which was 7.4 percentage points higher than the year before. Next to the top line effect, the strong leverage naturally also reflects the timing of investments and phasing of OpEx. Free cash flow was at DKK 438 million in first quarter 2021, and this includes the traditional seasonality. All in all, a very strong start to the year, which clearly bodes well for the remaining quarters of 2021 where we expect to continue to deliver solid growth every quarter. Let’s go to Slide 13. And here, we have an overview of our performance across regions. We continue to see a strong double-digit organic growth across all three regions and across enterprise and consumer. In North America, we delivered 59% organic growth by strong performance across enterprise and consumer, and this was again led by our industry-leading product lineup and strong commercial execution by our North America team. In Europe, we continue to execute strongly, and Europe was once again our fastest-growing region with 113% organic growth with particular strong performance in Germany and France. In our Rest of World region, we delivered an organic growth of 40% driven by several strong performing countries, including Australia, New Zealand and Japan. And with this strong broad-based performance, we continue to take market shares on a global scale. So let’s move to Slide 14 and our market segment overview, which I also showed last quarter. And with our recent product introduction in the video segment, I would like to spend a few minutes on the collaboration segment to which the video systems belong, leading me to Slide 15. Our collaboration segment is essentially plug-and-play conference call and video conference call solutions for home offices and huddle rooms, and it includes our Jabra Speak series as well as our Jabra PanaCast video products. The audio USB part of the market is worth around US$300 million where we have a market share of roughly 50%. This segment has increased significantly during the pandemic. And based on external market estimates, this segment is expected to grow around 10% per year in the years to come. If we now move to the USB room devices segment. This is a segment we entered a few years ago with our PanaCast solution and where we are now launching Jabra PanaCast 50. This segment is growing from a low base with very low penetration, and the segment is expected to grow by more than 30% in the years to come as employees are expected to return partly to the office. This will require solutions for conducting efficient video calls. Today, we have a mid-single-digit market share in this rapidly growing segment. But like in any other segment we operate, we expect to gain share quarter-by-quarter. Then we have the personal communication devices segment, which is mainly consisting of personal cameras. This is clearly also a segment that has experienced tremendous growth during the pandemic. And we strongly believe that this trend will continue, which is why we have been investing strongly into R&D to launch a superior solution to address the needs of this specific market. On the right hand side of this slide, we have the room-based segment where we are not operating. This is a segment that is growing a lot less than the other segment and which is actually donating growth and share to the USB room segment. All in all, we are exposed to a US$1.75 billion collaboration market, which is expected to grow 30% per year in the years to come. So it’s truly an attractive space. And this leads me to Slide 16 and our recent announcement of our PanaCast expansion, and I’m really thrilled to share our latest product news in this video segment. So last week, we announced two new video products: the PanaCast 50, which is the first new-normal-ready intelligent video bar; and the PanaCast 20, which is our first intelligent personal camera. The PanaCast 50 is the first integrated video and sound bar utilizing a unique 180-degree view of the room using three high-definition cameras. On top of this, we have included dedicated compute power that utilizes artificial intelligence, generating a large amount of background data that can be a huge benefit for enterprises. This could be people count, room occupancy data, automatic zoom, et cetera, et cetera. Like the rest of our product portfolio, this is natural plug and play, and the product is system-agnostic, integrating up against all leading UC vendors with an additional layer of on-device security. And I’m really proud that we’ve been able to launch such an exciting leading product to the market only a few years after we bought into this technology. Now moving to PanaCast 20, our new dedicated personal camera. This was not part of our road map when we acquired the technology a few years back. But the pandemic has changed our working habits, and we see a strong future demand for high-quality personal cameras, which, in combination with our headsets and speaker phone, increases the efficiency of virtual meetings. The new PanaCast 20 comes with intelligent zoom, automatic lightning correction and picture-in-picture functionality. All features are dedicated directly on the device itself, which will increase speed, accuracy and thereby, overall quality of the device when utilizing it on the different UC platforms. All in all, I think we are strongly positioned to capital market shares in this interesting market in the years to come. And we will be utilizing our highly efficient supply chain and our traditional sales execution machinery to gain share. So let’s turn to Slide 17 and a quick update on our progress of our sustainability agenda and especially our ambitious 2025 goals, which includes an ambition to use 100% sustainable packaging. The recent launch of Jabra Evolve2 30 is setting a new standard for new and sustainable packaging. The packaging has FSC approval, and the pouch is made of 87% recycled PET. This product is placed in a much smaller packaging in general to minimize size and, thereby, shipping footprint. We will certainly continue down this road for coming product introductions, making sure that we deliver on our ambitious ESG goals. So all in all, another very good quarter for GN Audio where we continue to build on our strong foundation. We will continue to execute on plans to make sure that we, also in the years to come, are taking market shares in what we believe is a 10% growing market. And with that, I would like to hand back to Peter and the financial update.and guidance. Thank you, all.
Peter Gormsen: Thank you, René. Moving to Slide 19 and the group financial highlights. As I said in the beginning, I’m very pleased to see the performance of GN during the quarter as we delivered 46% organic growth. As a consequence of the strong leverage in GN Audio and continued prudent cost management in GN Hearing, EBITA increased 151% while EPS increased 369% compared to Q1 of last year. Our balance sheet remains sound, and we have ample sources of liquidity. This leads me to Slide 20 and the cash flow generation. GN Hearing’s lower free cash flow compared to Q1 2020 is reflecting a negative development in working capital, driven by a higher-than-normal level of inventories due to sourcing of specific components and traditional seasonality. In addition, Q1 2020 was impacted by a reduced level of trade receivables due to COVID-19, which is naturally also impacting the year-over-year comparison. In GN Audio, we saw a strong development in operating profits due to the continued leverage in the business. While we’re keeping investments at a high level, we were able to deliver more than DKK 400 million in free cash flow for the quarter. Moving to Slide 21 and our capital structure. In March, we distributed DKK 206 million in dividends. And in the middle of April, we effectively canceled 4 million treasury shares. As a result of the strong execution across the business, the leverage ended at 1.6 by the end of the quarter, well within our targeted level. Based on the leverage profile, we initiated a new share buyback program this morning with the intention to buy back shares worth DKK 2.5 billion until March 2022. Finally, let’s turn to Slide 22 and the financial guidance, which we upgraded when we pre-released our numbers on April 14. First of all, it’s important for me to stress that the basic assumptions behind the guidance for 2021 remain significantly more uncertain than normal due to COVID-19. Recently, certain components have been in global shortage impacting many different industries. GN has commitment from component suppliers to deliver on the upgraded guidance. This is based on an assumption that the GN suppliers will not face unexpected reductions in access to raw materials. So let me start with GN Hearing. Our fundamental assumptions behind the financial guidance for GN Hearing are the same as we said back in February when we released our annual report. Based on the expected market conditions and our ambition to continue to take market share, this resulted in organic revenue growth guidance for 2021 of more than 25%. We expect an EBITA margin of more than 16% in 2021, reflecting the expected top line development and continued investments in maintaining our innovation leadership and improving the IT infrastructure. Moving to GN Audio. As René mentioned earlier, we continue to see positive market trends and continued demand for collaboration solutions from enterprises and organizations. Consequently, GN Audio expects an organic revenue growth for 2021 of more than 25%. It is clear that the organic revenue growth in the first half of 2021 will be significantly higher than in the second half of 2021 due to the difference in the comparison base. However, we still expect to generate solid positive growth in the three remaining quarters of the year. We expect an EBITA margin of more than 21% in 2021. EBITA in Other expected to be around negative DKK 185 million. And as a result of the strong growth across the company, we expect to deliver an EPS growth of more than 60% for 2021. So with those final remarks on the guidance, let me just summarize the performance in the quarter. Firstly, we have announced new and very exciting products across GN Hearing and GN Audio to fuel the future growth. Secondly, we’ve just upgraded the guidance for GN Audio, and we are right on plan for GN Hearing. And finally, we have this morning started a new share buyback program. So all in all, a very strong start to the year, which bodes well for the rest of 2021. And with that, I would like to hand over to Henriette for the Q&A.
Henriette Wennicke: Thank you to Gitte, René and Peter for the update. With that, I’m handing over to the operator for Q&A, and please limit your question to two at a time.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Jannick Denholt from ABG. Please go ahead.
Jannick Denholt: Great. Thanks, guys. It’s Jannick from ABG. Two questions: one for you, Gitte; and one for you, René. Firstly, Gitte, can you provide a little more flavor on the ReSound ONE performance? You have previously shown and spoken to, you can say, the uptake versus the Quattro. Can you remind us where we stand now? And also, maybe a little flavor on the U.S. market dynamics, i.e., Costco, VA, et cetera, would be great. And for you, René, can you provide a little more, you can say, granularity on the split on the Audio performance, i.e., video versus consumer versus enterprise? So any flavor on how much, you can say, your already existing PanaCast portfolio has performed. And where is the sky is the limit in this video collaboration? If we look at recent video collaboration peers, they are seeing excessively strong numbers. So how big can this video part become of the business? Thanks.
Gitte Aabo: Thank you for the question. I’m certainly happy to speak about ReSound ONE. We continue to get very positive response on ReSound ONE, both from end users and from audiologists. And there’s no doubt that ReSound ONE plays a key role in our ability to sustain or grow our market share in the market overall. And let me, on that note, specifically address the VA. I’ve spoken to that before. But obviously, when we launched ReSound ONE into the VA channel, we had expected to see a more positive outcome than what we’ve achieved so far, because normally, the VA channel is a channel that accepts new technology really well. And also, normally, VA is a good proxy for what is happening in the market or how a new product is received in the market. This is not the case this time around, unfortunately. I think in the VA, we’ve hit an unfortunate cocktail of the channel still being slower to open up than the rest of the market, which means that there’s a huge backlog of patients leading to big time pressure on the audiologist. That combined with the fact that with ReSound ONE, we are bringing completely new technology. We’re the first to put a microphone and receiver in the air canal in an open fit. And last but not least, we continue to be unable to visit the VA channel physically and actually won’t be able to until July. So that unfortunate cocktail haven’t led to the uptake we would like – we would have liked to see with ReSound ONE and VA. But if I look at the rest of the market or disregard the VA for a second, we actually see very positive response. I’ve previously shared with you the uptake in some of our key markets like Japan, Germany and U.S., excluding VA, and we continue to see that strong momentum compared to what we saw with Quattro. So that is obviously really positive. In terms of Costco, we haven’t yet put our newest technology into Costco. But that is obviously going to happen sooner or later, and they will be part of our, if you like, confidence that we will see a strong performance in Costco in second half of this year. So I hope that answered your question.
Jannick Denholt: Somewhat, thanks.
René Svendsen-Tune: So René here. Thanks for that question. So I think – so for the dynamics, I mean, if you look at the growth rates of the three categories, video, professional headsets and speakers and the consumer business, then what we have seen in the first quarter of this year but also last quarter of last year is that the highest growth is on video, however, from small numbers, as I guess you all understand. So we are coming late to this market, followed by our classic professional business, headsets and speaker phone business. And then finally, with the lowest of the high growth on the consumer side. That’s – I think maybe one comment to add to this is that, obvious, the first quarter was also affected by, let’s say, a build-down of the order backlog and – which mainly affected the professional headset and speakerphone part. And some, we can come back to that maybe, channel refill that has been going on, which is also mainly on the professional speakerphone and headset side. So – but still beyond that, video is the fastest, professional headsets after, and consumer is slowest, if you can say so.
Operator: Thank you. The next question comes from the line of Martin Parkhøi from Danske Bank. Please go ahead.
Martin Parkhøi: Hello, Martin Parkhøi, Danske Bank. I will just continue on that one, René, because as I can understand that you also said that you have seen a reduced order backlog in Q1, and you also have started to make some filling into the channel. Can you maybe try to say, if you look at the 82% organic growth you saw in the first quarter, year-on-year, how much has that been driven by demand? And how much has been driven by that you have been able to supply more? So what has the underlying demand been? And then back to Gitte as well. I just – maybe you can quantify a bit, you say that – you continue to say that you’re doing better than the independent segment there. But could you elaborate a little bit on how much have you actually seen the independent segment grow in the first quarter? And how much have GN Hearing been growing in the independent segment in the first quarter? And then just to – on VA, because as I can understand it now, face-to-face meetings between VA clinics and sales reps has now been put down to July. Does that also mean that we should not put any hope up for ReSound ONE showing any kind of light in VA on this side of the summer?
René Svendsen-Tune: So René back here. So I think – I mean, the first comment, of course, is that Q1 was a supply-driven quarter in many ways because we had this backlog and so forth. I – we have not specified how this breaks down, but I can say the demand has been strong, and it does take up a significant part of whatever happened in Q1. And actually, as I think is implicit from what we have said about first half is also continuing into second quarter with a solid April. So there’s – we see solid demand out there.
Martin Parkhøi: Weeks of inventory, have the channel now compared to what we’d like them to have?
René Svendsen-Tune: We haven’t said that. Competition, we’d love to know exactly where we are. So I’m sorry, we cannot tell that. This, of course, this is a market that is very much supply-driven for the moment. We have been, I think, doing very well in that aspect and gained market share this way, but we have not told the world exactly where we stand. And just one last comment to that. I just want to say it is a good thing that we are starting to get some products back in the channel because when they have products on the shelf, they sell more.
Gitte Aabo: So coming back to our overall performance, maybe this is a good segue way for me to speak a little bit on how we see the market development region by region. And I think one of our competitors have been out talking about how they see the performance region by region. And overall, we recognize the picture. However, we are probably a little bit more positive on Rest of the World. But in North America, the market growth in units was 9% versus last year in Q1. But keep in mind that the market was positively impacted by a large stocking order to a big customer. And excluding that, we estimate the market growth to be around 5%. And again, as I’ve spoken to before, compared to Q1 2020, we have low share in VA and in Costco, as I’ve already talked to. Furthermore, these two channels, VA and Costco, did take over a larger share of the market if we compare Q1 2020 to Q1 2021. So all in all, our organic growth was minus 7% in the quarter. And consequently, if you look at us outside VA and Costco, we have either sustained or grown our share in the commercial market, so actually a strong performance in the U.S. Europe, market growth in units was 10% versus last year, but the market was positively impacted by continued implementation of the health care reform, as I talked to in France. And excluding that, we estimate that we probably have mid-single digit. Or excluding France, we estimate that the market probably decreased slightly in Europe. And in France, specifically, we had – we have a market share that is mid-single digit. So obviously, we all saw a positive impact on the health care reform. It just doesn’t impact us that much. Our organic growth in the quarter in Europe was minus 5%. And I think when we announced the annual report, we also mentioned that we have discontinued an agreement with a large retailer, primarily operating in UK, and Australia, and this has impacted our gross percentage with around 2% for the total company. And the impact was obviously even higher in Europe, given the focus on UK. So as a result, we actually, again, believe that we have maintained or even gained market share across the European markets during the quarter. And then let me move to Rest of the World. I know that one of our competitors were estimating the market growth to be flat versus 2020. We don’t recognize that picture. According to our estimates, we think the market growth in Rest of World was double digits. And as you’ve seen, we have delivered organic growth of 27% in Rest of World and, therefore, believe that we have significantly gained market share. So I think that covers our performance as such. So again, outside VA and Costco, we are either sustaining or growing our market share, and that bodes for a really good performance of ReSound ONE. And then your question specifically on VA and visit in July, I guess, it’s a fair assumption that we are into the summer before we see – we’ll see any change.
Operator: Thank you. The next question comes from the line of Christian Ryom from Nordea. Please go ahead.
Christian Ryom: Hi, good morning, and thank you for taking my question. I have two, please: one for Audio, and one for Hearing. So René, first, on audio. Can you sort of elaborate a little bit on your thinking around guidance? Because when I look at the 25% – threshold of 25% that you’re guiding for, this seems to imply that the next quarter should see a fairly substantial step-down relative to the DKK 2.9 billion in sales you had here in Q1. Why is that – is that sort of a matter of inventory filling? Is it a matter of you just being cautious in what the out – how exactly the market will develop in the second half? What are your thinking here? And then my second question is for Hearing. And as I read your guidance, you continue to expect that the market for the first half as a whole here in 2021 will be below first half of 2019. Does that also go for the second quarter? Because my impression based on what your peers have been reporting is that the market right now is actually back to growth or at least very close to being back to growth versus 2019 levels. Thank you.
Peter Gormsen: So to your question on guidance, of course, I understand the question. I think there are two or three comments to put to that. I mean if you take the first quarter, of course, it has an element of, let’s call it, recovery or whatever you want to call it, I mean, there’s some refilling of the channel that goes along with the building down the order backlog. That’s one component that you have to, you can say, I would say, deduct it, but of course, it is a different order backlog we have now. But it’s still there, so there’s still work to do. We have said that we will have growth for every quarter for the rest of the year. We have not said exactly how this will spread. But the way we think about the market is that we are somehow – we came into this situation with this 10% market growth. We think we will come out of this situation with 10% market growth but on a higher base. Everything is bigger. What, of course, is the big question for all of us is what is second half going to look like? I mean how exactly is this going to fold – evolve? And when will people come back to the offices? I guess we’re out of this a little bit panic mode of the overall business and the way enterprises behave. So I think for me, it’s also fair to be a little bit cautious on how we look at the whole thing. Like always, we will do everything to beat our guidance, but we think this is a meaningful guidance for now. And of course, if you add that on top of the 42% we did last year, it’s a lot of headsets and cameras and speaker phones that have to come out of the machine to make that happen. So Q1 is a special quarter. But the demand is there. How exactly it will unfold is – and the timing and so forth, of course, is a speculation, but we are quite optimistic.
Christian Ryom: Okay, thank you.
Gitte Aabo: In terms of the assumptions for our guidance, I mean, I don’t want to give a specific guidance for Q2, but I can confirm that our overall assumption is that we see markets start to normalize from Q3 and onwards. And I actually think we have even stronger reasons to believe that now because we’ve seen what is happening in the U.S. as soon as a meaningful part of the population is vaccinated. We already saw very strong momentum in March, actually, the strongest since the impact of the pandemic, and that picture continues into April. So I think, overall, our assumption that we’ll see a market that normalizes once vaccine starts to have an impact not only in the U.S. but across the world is holding true. And that is what we expect we’ll see from Q3 and onwards.
Christian Ryom: Okay, great. Thank you.
Operator: Thank you. The next question comes from the line of Maja Pataki from Kepler Cheuvreux. Please go ahead.
Maja Pataki: Yes, good morning. Thanks for taking my questions. I’d like to focus on hearing for the time being. Gitte, the first question is with regards to the trial that you’re conducting or you’re starting to conduct in May, I believe, on the self-fitting hearing aid in the form of hearable. Can you maybe shed some light whether a product like that would need to see an OTC regulation or whether you could actually somehow fit it together in markets where you have a DTC approach allowed? And the second question is with regards to the VA and Costco. Understandable that VA market share is difficult to turn around if you can’t visit in person. But do you believe Costco will be sufficient to introduce your latest technology? Why are you waiting until later in the year to introduce it and, therefore, lead some more? And don’t you think it would maybe be a good opportunity for GN Hearing to start challenging the industry or channels in a different approach, i.e., from different kind of services, pushing more for remote fitting in certain channels? Just anything that might set you apart from your competitor. Thank you.
Gitte Aabo: Thank you for those two questions. Now in terms of the clinical trial, as you allude to, obviously, I think it’s evident that we are a company that focus on innovation and wanting to be first in the industry with new innovation. And I think we’ve also said it out very loud and clear that we strongly believe in constantly improving the customer experience, both from the audiology perspective but certainly also from the end user. And I think one of the things we’ve talked about before is this sort of conundrum, if you like, that despite the great innovations over the last decade, certainly from GN but actually also from our competitors, the penetration rate of hearing aid had not really changed. So clearly, there are opportunities to further make the innovations easy to use for both hearing care professionals as well as end users. So obviously, you will see us continuously having ongoing clinical trials. Now the self-fitting regulation specifically in the U.S., just to be clear, that is actually a regulation that has been around for some time. And it’s a regulation despite the word self-fitting, that still requires an audiologist to be involved and to be part of the delivery chain. But yes, again, we drive innovation, and we will continue to do that. In terms of – moving on to your question regarding VA and Costco, and maybe I should this time around focus on Costco. I think we have already taken some steps in Costco. I mean I don’t want to hide that, obviously, we did participate in the KS10 tender, and we didn’t win. I think that is probably obvious by now. And I think there’s a tradition in Costco that often you will rebought the same supplier two times in a row. And nevertheless, we did compete. We didn’t win. What we’ve done in March, as I’m sure you’ve also noticed, is that we followed our competition and lowered our price in the branded segment. We still have the highest price in the branded segment, but nevertheless, we’ve lowered our price. And then, as you alluded to, we do not yet have our newest technology into Costco. But obviously, that’s an ongoing conversation, in addition to a larger conversation about what additional services can you provide, what brand and so on. So obviously, there are more to it, I guess, than the product, as you also allude to by your question in winning in the channel, and we are obviously exploring all those opportunities.
Maja Pataki: Thank you.
Operator: Thank you. The next question comes from the line of Michael Jungling from Morgan Stanley. Please go ahead.
Michael Jungling: Thank you and good morning. I have two hearing questions. Firstly, if I look at the F1 from he.com, you can see it’s a fast-growing business, around 25% per annum or higher, sort of using this online lead generation, and it’s perhaps evidence that the world is changing the way that the customers do business. Is this something that you need to do as well? And would this be beneficial for your customer base, especially the independent segment? And then secondly, on teleaudiology. Can I ask you what your view is around that clinic-in-a-box offering? And why you have not offered something similar to your customer base and perhaps build an ever stronger relationship with your independents? Thank you.
Gitte Aabo: Yes. I’m certainly happy to speak to that. Again, I think I just kind of alluded to that I strongly believe penetration rates of hearing aids are way too low. And I agree, too, that one of the ways to encourage or inspire more people to go and get a hearing aid is definitely also taking online measures to generate leads to go into the hearing clinic. So I think we all see the trends happening not only in the hearing space but in telehealth as such as a way to reach – find new way to reach users. And yes, I believe that’s an interesting way forward to both improve from our business but certainly also drive more leads into the office of the health care practitioners. And on that note, teleaudiology, I mean, we do provide ReSound Assist Live, which is actually an opportunity where you can do both the hearing test and the first fit of a hearing aid remotely. So we do offer, if you like, a full flat package for the audiologist to do everything remotely. And we did – we actually accelerated that innovation last year and put it into the market in April due to, I mean, the pandemic and so on. But I am convinced that this is a service that is also relevant way beyond the pandemic because, I mean, a lot of the users we serve are not that mobile. So the ability to provide a choice for the user, whether you want to be serviced in your home or go down to the clinic, I think, is here to stay. And therefore, yes, we support that, of course, and in the partnership with the HCPs.
Michael Jungling: Okay. That’s great. Thank you. And maybe one follow-up question on Audio. When you gave the revised guidance for this year on organic sales growth, there really wasn’t much noticeable impact on your margins. Greater than 21% wasn’t changed. Is that because you are trying to sort of evaluate what the operating leverage is? Or is there just a little chance of seeing operating leverage even now that the organic sales growth is higher? Why not lift it to more than 22% or more than 23%? That’s pretty much the question. Thank you.
René Svendsen-Tune: Sure. I think the answer to that is the same as we have had, you can say, many years for now is that, we are in a space where there is constant opportunity for excessive growth. And we are sort of looking for that and investing into that. And I think we have proven that it’s good weighting. Actually, of course, we understand the leverage point, and we drive that when we can. But there is a big upside by driving aggressive investments, and we still reserve the right to do that as we somehow find these pockets. And that’s both on the marketing and sales side but, of course, also on the innovation side. That if you take an example here, we have been pushing investments into video strongly. And now here, we have the first sort of accelerated personal camera in the market actually with record speed. But of course, it has a price on the innovation cost. But it’s clear, we think that is the better way to go. So that is the rationale for the sustained guidance on leverage spacing. We will try to spend the money cleverly.
Michael Jungling: Great. Thank you.
Operator: Thank you. The next question comes from the line of Niels Leth from Carnegie. Please go ahead.
Niels Leth: Thank you. Two questions for GN Audio. So first one, what proportion of sales in GN Audio came from your video business before the launch of your new video products? And my second question would be about the competitive situation on the U.S. market. It seems that you’re growing much faster in Europe. Is that a reflection of competition growing in the U.S.? Thank you.
René Svendsen-Tune: So on the first question, on the video share of the revenues, we have not given that number. So I think the only number we have out there is that – I could say, in the space, we have a single mid-digit market share in huddle room or small meeting room-type cameras. But the absolute number, we have not brought forward at this point of time and don’t expect it to come right now. We think we are now in a sort of in attack mode here where it’s good to be a little bit sort of in disguise. So we will not bring that number out. But of course, it’s more relative. On the EU, U.S. side, I think the reality is perhaps more – first of all, we have a very strong market position in Europe and also stronger than we have in North America. So we can say we have more upside in North America. But – so in that sense, it covers – catching the growth in Europe is – we are very good at that. I think the other one is that the UC leverage, I mean, of these platforms is very strong in Europe. And also, if you look at what happened on public sector, you also saw public sector in Europe across, actually, take these tools into use to a larger extent than we have seen in other parts of the world. That’s part of the – so there’s the behavior among private and public sector enterprises here that is a bit different. You could assume that U.S. would always be ahead because these technologies come from U.S., but Europe is actually very fast in adoption. So I think that’s the main reason.
Niels Leth: Okay. Thank you.
Operator: Thank you. The next question comes from the line of Carsten Lonborg from SEB. Please go ahead.
Carsten Lonborg: Thank you very much. First question for you, René. When you break down the personal communication device market, so the PanaCast 20 market, you assessed it to around $700 million. But I was wondering, since PanaCast 20 is pretty high end in terms of pricing at least, probably also quality, I’m sure, videocam or webcam, is the market also massively fragmented? And do you have a sort of a guesstimate on how much of the $700 million market is the high-end market? And then second question, also maybe to you, René, because in Danish media, GN Audio is being promoted a lot, and you’re also being promoted a lot for hiring a ton of new R&D guys to help bring the company further. When you hire people here, are you then hiring within the sort of core franchise, sound, video? Or how are you prioritizing? Are there also completely new endeavors in the future that you are hiring people for? And the DKK 199 million in R&D costs in Q1, is that sustainable for the rest of the year?
René Svendsen-Tune: Right. Thanks for that. I think the – it’s correct that we start at the high end of personal camera market very deliberately. So I think we have this philosophy. If we want to have a massive impact on this whole space, we need to get ahead of the market. So we have deliberately tried to put products out that are in front of what is possible out there in the market. And it also means that we are positioning at the high end. I think the – we have a view, but I don’t want to give exactly our breakdown, but I think there is also a market-making exercise here that it is probably up to us because we have a very strong position with enterprise in general and also to increasing the education sector and so on to – actually to build a market like we have done on the headset side, you can say, the office market and headsets. Of course, this has happened, but it’s partly created by us. So I think we have the same philosophy here that we can impact, we think, the depth and the height of that market. So – but it has to happen first. On the R&D side, you can say we are recruiting across. We have more ideas than we can execute both from a people and, of course, also from a money point of view. We are – so a lot goes into software, so we are now, you can say, building experiences on top of a better and better hardware all the time. And that moves, you can say, spend towards AI type of implementations that you have seen now coming out with the PanaCast 50 but also experiences that we bring on top of conference speakers and headsets for that sake. So a lot goes into core product development but also an increasing amount to, say, the value add that we bring on top of the hardware. On the R&D spend – sorry, go on.
Carsten Lonborg: I was just thinking whether in the future, not the near term future, but a long-term future, is there a software stand-alone business for GN in the making, potentially?
René Svendsen-Tune: We have not guided anything like that. But you know, for instance, it’s not a secret that we acquired ourselves into the German audEERING a while back, and that is a software business. It is also not a secret that we are working with that technology on driving propositions out. And of course, to the extent that, that will turn into products, that will be a software business. But we don’t have a communicated software business strategy out there clear now. On the R&D spend, I think we are – the R&D spend we put – we planned for and put out there is totally within our guidance and business plan. So this one is exactly as we had wanted it to be. And we have strong plans for the rest of the year. We are sort of – we are, you can say, quite active on any communication around recruitment for the same reason that we need the best people, and we want to somehow make some noise around this.
Carsten Lonborg: Excellent. Thanks.
Operator: Thank you. Next question comes from the line of Lisa Clive from Bernstein Research. Please go ahead.
Lisa Clive: Hi. Just a question about your expansion into the collaboration segment of the Audio market. So my understanding was within office and contact center, really driven by the adoption of UC that you have very high market share in part because the barriers to entry are quite high because you have to have collaborations directly with the likes of Microsoft, Cisco, et cetera. How does this work in – with the products that you’re selling more into the home office setting and within the collaborations segment more broadly? And sort of how does that change the competitive dynamics? And then just a question on Beltone. Thank you for the detail on the sort of turnaround of that. But could you just give an idea of – in terms of sort of the margins for that business? Several years ago, I think a lot of the stores were needed to be refurbed, and it just seems like the whole business wasn’t as well run as it needed to be, and you’ve obviously done a lot of change since then. But it’s been probably masked quite a bit from the pandemic. So is that business performing at a profit level that you think is where it needs to be? Or how should that evolution look over the next two to three years?
René Svendsen-Tune: So René here. So I think – thanks for that good question here. So I think if you take the way we build our business, basically, we are building our business on the transition from traditional proprietary systems. Earlier, they were telephony systems for offices and contract center and so forth. Now you say you have these more proprietary video systems that are shifting to UC platform, a Unified Communication platform-based systems, meaning there’s Teams, Zoom and whatever comes from Google and so forth. And so you have an Internet infrastructure far cheaper, way more flexible and so forth. You can say, so the classic technologies are the donors of revenue streams that are already there that are being taken over by the UC. So in that sense, from a video collaboration perspective, it’s exactly the same game. So it is about partnering with the key platform vendors on the UC side and then bring best leverage of that UC phenomenon that is whatever is out there. So you can say here, whatever happened on the headset UC side is repeating itself on the video side. I think on the home, if I understand you stood your question right on the home office gear, I mean, with the other people, I mean, is there another dynamic there? We are betting on the fact that it is a UC game that people are sort of subscribing to Zoom or Teams and so forth also in the home environment. And therefore, over time, they will appreciate that you need high-quality endpoints like good headsets, good video cameras and so forth. So the dynamics, we are betting on are the same.
Gitte Aabo: And Gitte speaking. Coming back to Beltone, I mean, clearly, part of the turnaround has been, I mean, obviously, to grow our market share. We’ve been successful in doing that and reducing our ownership of own retailer, what we call ownership in transition from 250 stores to less than 100, and we’ve been successful in that and then, obviously, also with the focus on improving profitability. Now by far, now, as you can imagine, the network is by far the larger part of the stores, and we have these around 100 or less stores that we still own. And we’ve seen an improvement in profitability. But as I also spoke to, we don’t declare victory yet. So we obviously constantly work to further improve profitability in our own stores. But overall, the majority now, by far, is the network. And therefore, our focus is on growing our share in the market, and that has been really successful.
Lisa Clive: Thanks.
Operator: Thank you. The next question comes from the line of David Adlington from JPMorgan. Please go ahead.
David Adlington: Hey, guys. Most have been answered. But maybe just quickly, René, on the supply chain. Obviously, you’ve covered off a lot of demand there. I just wondered at what point, if any, would the supply – component supply become a limiting factor to your growth. And then secondly, just for Peter, in terms of the share buyback, and that was a bit bigger than we were expecting, does that reflect a lack of potential acquisition opportunities or just the increased cash flow you’re getting in from the Audio business? Thank you.
René Svendsen-Tune: Yes. Thanks. I mean on the supply, it’s clear that the world is working in a way right now that if you don’t anticipate the growth, it’s hard to execute on it. And you can say we were good or lucky last year, so we did anticipate that this would actually come – happen very fast. And you can say we have – I think what we have said is that we have secured all the components we need for the guidance we have out there. It’s clear, can we do more? We will try hard to get more components and be as flexible as possible. And I think last year and also first quarter, of course, demonstrate the agility in our model that actually, we are – we have been able to drive significant growth over several years now. And – but of course, it’s clear that the supply situation in certain, as we all understand, is more rigid now. And so we need to make sure that we have forecast these out there.
Peter Gormsen: Hey, David. This is Peter. Thanks for the question. So it is correct. We did increase the share buyback program, the size of it. And of course, that is a direct function of the strong performance. You saw the improvement in our leverage and the strong cash flow. So that is a function of that, that led us to the increase. We are not disclosing our M&A plans. If we had very concrete plans, you would know about it, of course. But I’m also not saying that we are not looking at M&A. We continue to look at it, but we need to find the right fit, obviously.
David Adlington: Thank you.
Operator: Thank you. Your last question comes from Oliver Metzger from Commerzbank. Please go ahead.
Oliver Metzger: Hi, good morning. Thanks for taking my question. The first is on Hearing. So if I remember right, some years ago, you acquired Audigy, and it was, to that point of time, a strongly growing network. To my understanding, it was the idea to utilize the experience from Audigy also to boost Beltone. So now you’re in the process of restructuring Beltone for a while. But could you give a little bit more color where you are, also with your promotion strategy to utilize Audigy in this context and where it stand right now? The second question is on Audio. It’s about now we are seeing a year of such a tremendous growth. It would be quite interesting to know the replacement cycle of your products, of your equipment. So what is the typical product lifetime per subsegment which you expect?
Gitte Aabo: Yes. So you’re absolutely right that we acquired Audigy a few years back, and one of the purposes was to use Audigy to drive best practice sharing across the retailers in the Beltone network. And I actually think we’ve been really successful on doing that, and I think it’s both reflecting in our performance, the fact that we have been able to grow our share in the market. But certainly also reflecting on the fact that – I mean, we have been able to attract a number of new owners into the Beltone network. I think also that is really important and part of this about driving best practice sharing across the network. And clearly, Audigy has played a role in that in ensuring that we optimize our office practices, both in terms of return rates and lead generation and everything. So we are obviously looking at the network stores that does the best and how to copy that into other network stores. And clearly, we’ve been successful in that. And also, on the ownership and transition that we have ourselves. So these around 100 stores. Also there, we have improved our profitability. And again, we are not done yet. But also here, obviously, impact from Audigy has played a major role. And you can say the current head of Beltone is actually coming out of Audigy, which again ensures that strong alignment between the practice management optimization in Audigy and what is going on in Beltone.
Oliver Metzger: Okay. Potential one follow-up in this context. If you look on Audigy on a stand-alone position, sort of have the expansion plans you had good in this extent or potential one comment also in this direction?
Gitte Aabo: Yes. So I think without going into too many details on Audigy specifically, we are happy with the performance of Audigy in many ways.
René Svendsen-Tune: So René here. On the replacement cycle, we have not, at any point in time, sort of disclosed replacement cycles in this. What I can say is that contact center equipment typically lasts longer, and office equipment are replaced with a faster cycle. So as office becomes more and more dominant, then, of course, there’s a shift to shorter cycles. That’s one dimension. I think the other is that with the innovation – increasing innovation speed, I think, in this space like in many other spaces, of course, that also drives a faster replacement, basically. And that’s, of course, what we are after with the innovation here so far, and I expect it to somehow continue there, say, to a point shortening replacement cycle happening in the market.
Oliver Metzger: Okay, great. Thank you.
Operator: There are no further questions. So I will pass back for closing comments.
Henriette Wennicke: Thank you very much, operator, and thank you, everybody, on the call. So with that, we appreciate your time today, and we see you on the virtual world. Thank you very much.